Operator: And ladies and gentlemen, thank you for standing by. Welcome to the American Express Q3 2021 earnings call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. [Operator instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to our host, Head of Investor Relations, Ms. Vivian Zhou. Please go ahead.
Vivian Zhou : Thank you, Brad. And thank you all for joining today's call. As a reminder, before we begin, today's discussion contains forward-looking statements about the Company's future business and financial performance. These are based on management's expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides or reports on file with the SEC.  The discussion today also contains non-GAAP financial measures. The comparable GAAP financial measures are included in this quarter's earnings, as well as the earnings materials for prior periods we discussed. All of these are posted on our website ir. americanexpress.com.  We will begin today with the Steve Squeri Chairman and CEO with some remarks about the Company's progress and results, and then Jeff Campbell, Chief Financial Officer will provide a more detailed review of our financial performance. After that, we will move to a Q&A session on the results with both Steve and Jeff. With that, let me turn it over to Steve.
Stephen Squeri: Thanks Vivian and hello, everyone. Welcome to our Third Quarter Earnings Call. Earlier today, we reported third quarter revenues as 10.9 billion up 25% over last year's third quarter, and earnings per share of $2.27. These strong results once again reflect accelerating momentum in our core business as billings on our network reached record highs for the third quarter, driven by goods and services spending.  In my remarks this morning, I want to put into context the decisions that we've made, pre -pandemic, when the pandemic hit, and during the pandemic to drive the growth we are now seeing, and the increased confidence we now have in our business model. In 2018, we introduced the new financial growth algorithm, which call for high single-digit revenue growth and double-digit EPS growth. Prior to the pandemic, we achieved those objectives for 10 straight quarters through focused and increased investment levels in our business.  We executed strategies for profitably growing the business which were based on initiatives to attract new customers and deepen relationships with existing customers in both our consumer and commercial businesses. And while our differentiated business model gave us confidence in our ability to capitalize on the opportunities we saw, we also knew that the favorable economic conditions we had at the time could change.  So we also developed a plan for winning through the down cycle that's focused on protecting our customers and our colleagues and maintaining our capital strength while investing strategically and at the right time to rebuild momentum so we could win during the recovery. Through it at all the driving force behind everything we do from product innovations to our investments decisions is to continue to make the American Express brand special and back our customers. Over the last several years, we focused our strategies on broadening the appeal of core products to attract new customers particularly Millennial and Gen Z customers, as well as expanding our leadership position with SME customers by providing more ways to help them manage and grow their businesses. To accomplish those objectives, we made a series of investments and I'll highlight a few.  We put in place a strategy for consistently refreshing our core premium products, adding value with expanded and relevant new benefits targeted at key consumer and small business customers, and we charged for that added value. We added a host of new digital capabilities for consumers and small businesses and expanded and enhanced our mobile app to appeal to the digital lifestyles of our target customers. We're an early mover in launching our Buy Now, Pay Later capability pay with Plan It, which we introduced to address the evolving borrowing preferences of our customers. We increased our focus on working with strategic partners to help us enrich our value propositions, expand our network and broaden our digital capabilities and offerings.  For example, we negotiated wide ranging long-term agreements with key co-brand partners such as Delta, Hilton and Amazon. We also expanded partnerships with digital giants such as PayPal and added a variety of new partners to our ecosystem, including fintechs such as Bill.com and Better, and lifestyle brands such as Equinox. We achieved virtual parity coverage in the US and we increased coverage internationally through a more targeted approach while increasing the number of compelling offers and benefits that our merchants delivered to our card members. When the pandemic hit unexpectedly in early 2020, we responded by activating our plan for winning through the cycle using the same customer-focused approach to concentrate on retaining our customers and addressing their immediate needs.  We move quickly to enhance and expand our financial relief programs to assist our customers who suddenly faced financial hardships. Our frontline servicing team stepped up to ensure we continue to provide the world-class service our customers have come to expect from American Express. We pivoted value propositions of several of our premium products, adding temporary benefits on categories that were relevant to how customer spending behaviors have changed, such as wireless streaming, food delivery, and others. This has produced lasting behavioral changes as spending in a number of these categories, including wireless and streaming has proven to be sustainable.  Soon after, we turned our attention to small businesses who needed help by launching the largest global small business campaign in the Company's history, creating a stand for small coalition and supporting minority-owned small businesses in the U.S.. As last year progressed we learned from our customers what resonated with them and in this unprecedented environment. And we grew more confident to seize the growth opportunities we saw emerging. So we ramp ed up our investments in card member acquisitions and value proposition innovations to capitalize on those opportunities and start rebuilding of our growth momentum. We also saw an opportunity to accelerate our strategy to bring new digital beyond the card capabilities to our small business customers and acquired Kabbage, one of the leading providers in digital cash management platforms.  Importantly, the increasing demand we are seeing for our products and what we learned from the early value proposition enhancements encouraged us to restart our product refresh strategy last year. And in July, we launched a new consumer platinum card in the U.S. We're repeating this customer-lead product innovation strategy with the refresh of the U.S. Business Platinum Card which we launched last week.  As with the consumer card refresh, the new benefits we added to our Business Platinum in key spend categories such as electronics, software, shipping, wireless, and others were informed by our card member desires. Coming into 2021, we are emboldened by the strong results we were seeing toward the end of 2020 from our customer retention and acquisition efforts. And we decided to double down on our investments in marketing, product innovations, technology, and people to accelerate our growth momentum.  All these decisions, those that we made before the pandemic, when the pandemic hit, and through this year, as conditions began to improve, are driving the results we're seeing today. For example, customer acquisition to gain momentum over the last 5 quarters with 2.6 million new cards enforced in the third quarter. Demand for our premium fee-based products has been particularly robust with acquisitions of our U.S. consumer and small business platinum and gold cards reaching all-time highs in the quarter.  In consumer, Millennial and Gen-Z customers have driven this growth with 75% of new U.S. gold and platinum consumer cards coming from these customers. In commercial, we had one of the best quarters ever, the U.S. small business card acquisitions. Our focus on meeting the needs of SMEs and Millennial and Gen-Z consumer customers has resulted in these groups being the most resilient throughout the pandemic, leading the growth in spending.  In fact, spending from these groups continue to accelerate in the third quarter with goods and services spending for SMEs growing 21% above 2019 levels, and overall spending for Millennial and Gen Z customers, particularly strong up 38% over 2019 levels. Our initiatives to protect our customers at the beginning of the pandemic h as driven retention and satisfaction metrics higher than pre -pandemic levels and the digital capabilities we've introduced has driven steady increases in digital engagement.  For example, approximately 85% of active card members are digitally engaged with us. And we had the highest ever daily active user engagement across the web and mobile in August with a nearly 17% increase year-over-year. This example show the strategies we implemented to profitably grow our business before the pandemic began, coupled with the decisions we made in executing our strategy to manage through the pandemic and to win during the recovery have generated strong consistent momentum as the environment continues to improve.  And what we've learned through this past year is informing our strategy for investing to profitably grow our business moving forward. Looking ahead, we're operating from position of strength and we see even more opportunities to build on the momentum we've created. So we will continue to invest strategically in seeking to drive even higher levels of sustainable long-term revenue and EPS growth. With that, I'll turn it over to Jeff to discuss our third quarter results in detail, and then we'll take your questions. Thank you.
Jeffrey Campbell: Well, thanks, Steve. And good morning, everyone. It's good to be here today to talk about our third quarter results, which reflects strong momentum in our core business driven by the investment strategy that Steve just spoke about. You see this momentum in our summary financials on Slide 2 with third quarter revenues of $10.9 billion up 24% year-over-year on an FX, adjusted basis, third quarter net income of $1.8 billion in earnings per share of $2.27.  To get right into a more detailed look at our results, let's talk about how the strategies that Steve just discussed, have helped to drive our volumes back above pre -pandemic levels, as you can see on Slide 3. You've all noticed in the several views of volumes that begin on Slide 3 that we continue to show third quarter volume trends on both a year-over-year basis and relative to 2019 as we find, it's provides a clearer picture of the progress we're making in building growth momentum. We did see continued momentum and spending volumes in the third quarter with total network volumes and billed business volumes both up around 30% year-over-year and up 4% relative to 2019 on an FX adjusted basis. This growth in billed business is being driven by continued momentum in spending on goods and services, which you can see on Slide 4, represents 79% of our overall build business and was up 19% versus 2019 and strengthened sequentially versus Q2.  We are very pleased with this continued strength in goods and services spending given the investments we've made in premium card member engagement, prospect acquisition, growing our coverage, and expanding relationships for the key partners. Focusing in first on our consumer business on Slide 5 overall spending was 9% above 2019 levels as growth in goods and services volumes accelerated to 20% above 2019 in the third quarter. For many years, we've been focused on attracting and engaging younger cohorts of card members through expanding our value propositions in digital capabilities.  Aided by these efforts, you see that Millennials and Gen Z customers are leading the growth in spending reaching 38% above 2019 levels for the quarter. Older age cohorts have shown continued steady though smaller improvement as well. Turning to our commercial business, as you know, we've been very focused on helping our small and medium-sized enterprise clients run their business by expanding the range of products and capabilities that meet their B2B payments for working capital needs.  This strategic focus on SMEs has been key in driving the performance you see on slide 6. Global SME spending, which represents the bulk of our commercial build business, remain the most resilient across all of our customer types with spending up 11% versus 2019 driven by strong growth in B2B spending on goods and services, which grew 21% above 2019 levels in Q3. In contrast, large and global corporate card spending, which historically has been primarily for travel and entertainment, continued to show fewer signs of recovery.  We've said all along that we expect this will be the last customer type to see travel recover. Digging into goods and services, spending trends on Slide 7, we continue to see strong growth in online and card-not-present spending, which was up 27% versus 2019, even as offline spending fully recovered in the third quarter, demonstrating the lasting effect of the behavioral changes we've seen during the pandemic. We also saw growth across all categories of goods and services spending with both consumer and SMEs driving the strong growth in retail and wholesale spending, And SMEs leading the growth in advertising and media spending. Turning now to T&E spending on Slide 8, you continue to see a recovery that is on track with our expectation that were reached 80% of 2019 levels in the fourth quarter. T&E spending improved sequentially versus Q2, and we're pleased to see restaurant spending, our most resilient and now largest T&E category, back above pre -pandemic levels in the quarter.  We did see some modest impacts from the Delta variant in the airline category, where the pace of recovery slowed a bit in August, but it has strengthened again in September and into early October. The trends we have seen reinforce our view that travel and entertainment spending will eventually fully recover, but at varying paces across customer types and geographies. And we remain focused on maintaining our leadership position in offering differentiated travel and lifestyle benefits to our consumer and commercial customers as they return to travel.  Turning to our last look at volumes on slide 9, you do see that the overall billed business volume recovery continues to be led by the U.S., which first surpassed 2019 levels in Q2 and was up 9% in the third quarter. Importantly though, growth in goods and services spending has been strong bull in the U.S. and outside of the U.S. Overall spending is only weaker outside the U.S. because, historically, we have more travel-related spending in our air -- in our international regions. And international T&E is recovering more slowly than in the U.S. given cross-border travel restrictions. Looking ahead, based on current trends, we still assume that overall T&E spending globally will recover to around 80% of 2019 levels in the fourth quarter of 2021.  And even more importantly, we expect continued strong growth momentum in goods and services spending. So all in all, a really good story on spending volumes. Moving on then to the receivable and loan balances on Slide 10, loan balances continue to slowly recover in the third quarter and were up 9% year-over-year and 2% sequentially. Relative to 2019 though, loan balances remained down 10% as we continue to see the liquidity and strength amongst our customer base leading to higher paydown rates, which is also driving the very strong credit performance I will talk about in a moment.  I would point out that we have hit an inflection point on revolving loan balances and will take time for those balances to be build as paydown rates are likely to remain elevated in the near-term. We believe over the long term, we can get back to growing our loan volumes faster in the industry. For the next few quarters though, I continue to expect the recovery in loan balances to lag the recovery and spending volumes. Turning next to credit and provision on slides 11 through 13, as you flip through these slides there are a few key points I'd like you to takeaway. Most importantly, we continue to see extremely strong credit performance with card member loans and receivables, write-off, and delinquency rates remaining around historical lows.  As loan balances begin to rebuild more meaningfully, we do expect delinquency in loss rates to slowly move up over time. However, given how low delinquency rates are today, we don't expect to see a material increase in write-off rates in the next few quarters. This strong credit performance combined with further improvement in the macroeconomic outlook, drove $191 million provision expense benefit in the third quarter as the low write-offs were fully offset by the reserve release as shown on Slide 12. That said, we are mindful that the last of the government stimulus in the industry forbearance programs have yet to roll-off and that there are remaining uncertainties in the medical and macroeconomic environment.  In addition, we are closely monitoring how the card members exiting our financial relief programs are performing, though the early performance of the card members that have exited these programs has looked quite strong. As you see on Slide 13, we ended the quarter -- third quarter with $3.6 billion of reserves representing 4.5% of our loan balances and 0.1% of our card member receivable balances, respectively, which is only slightly below the reserve levels we had pre -pandemic.  So given that our credit metrics are still around historical lows, I would say that we continue to hold an appropriately significant amount of reserves driven by the remaining uncertainties I just spoke about. Moving next to revenues on Slide 14, total revenues were up 25% year-over-year in the third quarter. We had double-digit growth in all of our non-interest revenue lines and we are starting to see growth in net interest income as well. Before I get into more details about our largest revenue drivers in the next few slides, I would note that other fees and commissions and other revenue were both up sharply year-over-year in the third quarter, primarily driven by the uptick in travel-related revenues we're beginning to see, though they still remain well below 2019 levels.  Turning to our largest revenue line discount revenue on slide 15, you see it grew 33% year-over-year on an FX adjusted basis and is now comfortably above 2019 levels. This growth is primarily driven by the steady momentum in goods and services spending that we've seen over the past few quarters. Net current fee revenues continue to grow as consistently as they have throughout the entire pandemic, up 27% year-over-year in the third quarter. These card fee revenues are now 27% higher than they were back in the third quarter of 2019 as you can see on Slide 16. The resiliency of these subscription-like revenues demonstrates the impact of the continued attractiveness of our premium value propositions to both prospects and existing customers. Turning to net interest income on Slide 17, you can see that it was up 6% year-over-year, though still growing slower relative to the other revenue lines, we have clearly hit an inflection point.  This growth is slower than the growth in lending AR due to the strong liquidity demonstrated by our customers, which is leading to both our historically low credit costs into higher paydown rates. They're driving lower net interest yields and a slower recovery in revolving loan balances. We did see a modest sequential improvement in revolving loan balances in the third quarter. But looking ahead, I continue to expect the recovery in net interest income to lag the recovery in loan volumes.  So to sum up on revenues, the momentum of our revenue recovery strengthened in Q3 as you can see on slide 18 with revenue up 24% year-over-year on an FX adjusted basis. Looking forward, with the strength in goods and services spend growth we've seen in the first three quarters of the year, we now assume that full-year revenue growth could be around 15% if current trends continue. The revenue momentum we've seen this year has clearly been accelerated as a result of the investments we've been making in marketing, value propositions, technology and people, and those investments show up across the expense lines you see on Slide 19.  Let me start at the bottom with operating expenses, which were up 3% year-over-year in the third quarter. Looking forward, I still expect our full-year OPEX to be below the $11.5 billion we originally expected, as we continue to keep tight control over our operating expenses while also investing in technology and our people to drive long-term growth in our business. Moving on to variable customer engagement expenses at the top of slide 19, there are a few things to think about. Most importantly, in 2020 we added some incremental benefits to many of our premium products in an effort we refer to as value injection, because our customers were not able to take advantage of many of the travel-related aspects of our value propositions.  The cost of this value injection effort generally showed up in the marketing investment line and are now winding down. We are able to wind them down because our customers are, again, engaging more with the travel aspects of our value propositions, which is a good thing in terms of longer-term customer retention and growth prospects. It does, however, mean you see more year-over-year growth in these variable customer engagement costs. As one example of the financial implications of customers again engaging in travel-related aspects of our membership rewards program, in the rewards line we made a roughly $200 million adjustment this quarter to our membership rewards liability to reflect a higher mix of redemptions in travel related categories.  Looking forward, as I've said the past few quarters, I'd expect these variable customer engagement costs overall to run at around 40% of total revenues. Turning next to the marketing investments, we're making the build growth momentum. You can see on Slide 20 that we invested $1.4 billion in marketing in the third quarter as we continued to ramp up new card acquisition while winding down our value injection efforts. We acquired 2.6 million new cards, up 87% year-over-year and 6% sequentially in the third quarter.  Much more importantly though, than just the total number of cards, we focused internally on the overall level of spend and fee revenue growth we bring on from new acquisitions and revenues from this quarter's acquisitions are trending stronger than what we saw pre -pandemic. One key driver of this performance is a great demand for our premium fee-based products. With new accounts acquired on these products more than doubling year-over-year and representing 65% of the new accounts acquired in the quarter. In particular, acquisitions of new U.S. consumer and small business platinum and gold Card members were at all-time highs this quarter. And this was, again, one of the best quarters for small business new account acquisitions in the U.S. Based on the opportunities we've seen in the first three quarters of 2021, we now expect to invest over $5 billion in marketing for the year.  We feel really good about the results we've seen from our strategic investments, and see an opportunity to continue to invest during the recovery to maximize sustainable long-term growth. Turning next to capital on slide 21, our CET1 ratio was 12.6% at the end of the third quarter, which declined from the prior quarter, but remained above our target ratio of 10 to 11%. In the quarter, we returned $3.6 billion of capital to our shareholders, including common stock purchases of $3.3 billion and $337 million in common stock dividends on the back of a starting excess capital position and strong earnings generation.  Looking forward, we expect our CET1 ratio to migrate to our target range over the next few quarters as we continue to return to shareholders the excess capital we hold and generate, while supporting balance sheet growth. So let's close by talking about what the signs of momentum we saw in the first three quarters of this year might mean for the future.  As a reminder, we started the year with a wide range of scenarios of potential outcomes for 2021, as we did not know how the medical and economic environment would evolve during the year, and the impact it would have most importantly, on our credit reserves. Now, three quarters into the year, macro outlook has steadily improved and our actual credit performance has remained incredibly strong.  We've already released $2.3 billion of reserves, accounting for over $2 of EPS year-to-date. That still leaves us, however, with a lot of reserves to the remaining uncertainties I spoke about earlier. So our updated scenario one on slide 22 assumes that this uncertainty persists if the medical environment and economic outlook does not improve further and that we therefore don't release any additional credit reserves this year.  That can lead to an EPS outcome as low as around $8.90 per share. Our updated scenario 2, in contrast, assumes that we continue to see strong credit performance as the remaining stimulus and forbearance programs roll off. And then we also see continued improvement in the economic outlook, leading to less uncertainty, and in all likelihood, a lower level of credit reserves. In this scenario, our 2021 EPS could be as high as around $9.50. In closing, we feel really good about the progress we've made this year as a result of our Investments in marketing, value propositions, technology, and our people.  And as the year has gone on, we've gotten even more confident in our ability to deploy significant resources towards building sustainable long-term growth momentum. Based on all these current trends, we are confident in our ability to be within the high-end of the range of EPS expectations, as we originally had for 2020, in 2022. And to continue to drive towards higher levels of sustainable growth over the long term. And with that, I'll turn the call back over to Vivian.
Vivian Zhou : Thank you, Jeff. Before we open the lines for Q&A, I will ask those in the queue to please limit yourself to just one question. Thank you for your cooperation. And with that, the Operator will now open up the line for questions. Brad.
Operator: [Operator Instructions] And our first question comes from the line of Ryan Nash with Goldman Sachs. Please, go ahead.
Ryan Nash : Hey, good morning, Steve. Good morning, Jeff.
Jeffrey Campbell: Good morning, Ryan.
Ryan Nash : So as we look ahead to next year, Jeff, you said that you expect to be on the high end of your original 2020, which is what you had mentioned last quarter. If we look back to that time frame, you were expecting mid-to-high loss -- mid-to-high 2s losses provisions. We're going to be in the $3.5 to $4 billion range versus where I look now, losses are running sub-1 and you know that you don't expect them to move up that much for the next few quarters.  So you maybe just one, Jeff, talk about some of the puts and takes that -- such that you wouldn't be above the high-end given how much leverage you have from credit. And then second, Steve, maybe you could expand on the comment that Jeff made to continue to invest to maximize the long-term growth that can help you sustain the financial algorithm that you laid out at the beginning of the call. Thanks.
Jeffrey Campbell: Let me start Ryan by pointing out remarks. We've already -- this year because of the environment added over $2 of EPS to our earnings just from releasing credit reserves. As you think about my comments about 2022, we assume next year we'll have strong credit results, which you can recall from having a several billion dollar good guy on the provision side this year to having more of a normalized for the new world of lower credit losses provision expense next year.  So we see that as a pretty impressive grow over to in fact be confident in getting to the high-end of where we originally thought we'd be in 2020 next year. Considering the magnitude of that grow over, considering that it's not reliant on a full recovery across all of our businesses, we actually see tailwinds that probably will help us in '22 and into 2023. And that's why as I turn it over to Steve, I think we are still emboldened by the progress we've seen bringing new people into the franchise, Ryan that we think we have an opportunity here to continue to invest significant resources to drive longer-term even higher levels of sustainable growth.
Stephen Squeri: Look, I -- if you would have asked me at the beginning of the year, would we invest almost $5 billion in marketing this year? I would've said no, but we're not governed by what level we think we should or what anybody thinks we should hit. We're governed by the fact that there were tremendous opportunities out there.  And when you look at what is going on with our acquisition activities right now, look we brought in 2.6 million cardholders and what we really focus on is what revenue those card holders really bring in. And what we're seeing is we're seeing a cardholder base that is spending more that we're bringing in, that has a better FICO profile, and it's skewing Millennial and it's skewing fee paying.  And so as we run our models will be governed by -- can we continue to acquire these card members and we are. And the reality is, is that -- I've said this from Day 1, we're running this for the long -- the medium to long term. And the reality is, if we continue to find those great opportunities in the consumer base, in the SME base, in some opportunities beyond the card that we might have, we'll continue to invest.  So as we look at it right now, our plan is to continue to be aggressive with our investments, constrained by our investment return models, not constrained by a certain level that people think we should or should not be at. And that's just the way we've been running the business for the last few years, and we'll continue to do that.  And I think it's really served us well during the pandemic. I don't think you would've thought that this year we would've spent that kind of money. And -- but I think the key point is we're spending that money to grow the business profitably. We're not spending that money because we're in some battle to keep up with the Joneses here, okay?
Operator: And our next question comes from the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck : Hi. Good morning.
Jeffrey Campbell: Hi Betsy.
Stephen Squeri: Hi, Betsy.
Betsy Graseck: Couple of questions here. First, just following up on that -- on the marketing side, it seems like that is in line with what you've been spending historically as a percentage of revenues. So should we take your comments to mean that you had ramped that up from here or that there's a trajectory of marketing expense that's going to be similar to what you've had in the past as a percentage of revs?
Jeffrey Campbell: Well, I think Betsy, what you should take is that we're not governed by thinking about, okay, we got to keep the percent of revenue, the marketing represents constant or similar to where it was in 2019. We're governed by the universe of really attractive opportunities we see to build longer-term growth momentum. So that's what has driven our marketing spend now including value injection to over $5 billion this year, much higher than Steve and I started the year thinking it would be.  And as we think about 2022, we're very confident in the kind of EPS outcome that we've been talking about. But the ultimate amount of marketing that goes with that is going to be a function of the attractive opportunities. And because we're getting such great growth from the spending as Steve talked about, we're actually generating more revenue from the dollars that we're investing in marketing than we were pre -pandemic.  The marketing starts to become a little self-funding while still hitting our EPS targets if the opportunities are there. So that's what's going to drive us in terms of how much marketing we do next year. And was there a second -- part 2, Betsy, if the Operator keeps you on.
Operator: My apologies. Our next question comes from the line Mihir Bathia with Bank of America. Please go ahead.
Mihir Bathia: Hi, and good morning. Thank you for taking my questions. Not surprisingly, I also have a question on marketing and engagement spending. So in terms of -- Maybe just talking about it at a little bit of a higher level, right? In terms of competition, I understand that American Express is always been in a very competitive market for many years.  Maybe talk about the dimensions of the competition. Have they changed post-competition? Are you seeing different players? And also, just in terms of your marketing and customer acquisition spending, how is it different today than it was maybe pre -pandemic like in 2019? Is there -- are you making investments in different things? Are customers are asking for different things?
Stephen Squeri: Look, it's -- the only time I'd say competition ramp ed down was during the pandemic when nobody was really acquiring a lot of cards. But when we look at the range of competitors, you have to realize that we're looking at competitors on a global basis, country by country, we're looking at competitors across corporate card, small business, and consumer cards and I think as we talk to, quite honestly as we talk to you guys about competition where the drive tends to be is consumer competition in the U.S. and the reality is that this has been a competitive market since the financial crisis.  I think the consumer card competition really heated up after the financial crisis when the big money center banks decided to really get serious about their consumer card business, and a lot have done a really good job. And we compete very vigorously with them. And so I don't really think it in my mind, I don't think it's changed all that much. I think it paused a little bit during the pandemic, but I don't think it has changed at all.  The other thing that I would say is there are a range of other competitors out there. Fintechs and what have you and we continue to watch them, whether its competitors in the corporate card space, competitors in other places in other places. For buy now, pay later perspective, that's not really a big competitive threat to us. I mean, when you think about buy now, pay later, it tends to be targeted at low FICO, it tends to be targeted at a lot of debit card users, it's used as a customer acquisition vehicle.  And that's just not the game that we're playing. We've had a buy now, pay later product since 2017, and it's just another way for our card members to manage their spending within the overall American Express relationship. It's a transaction by transaction management tool, which quite honestly is a lot more flexible than point-of-sale buy now, pay later because you don't know who is going actually have point-of-sale at every merchant you go to.  And then for the Pay in 4 people, which is also another thing that's out there which is a version of buy now, pay later, there are -- actually our charge card product gives you more float and gives you rewards. I -- but you have to look at all this stuff, whether it's whoever is coming into the space. We look at competitors all the time and you have to evaluate how it attacks your customer base.  But I think the way we run this business and you've seen this over decades is we continually put more value and build a bigger moat around our customers and just look at what we've done with the Platinum Card here, we refreshed this product while it was going gangbusters, both of them. We were at record levels of platinum acquisition before the refresh and yet we went out and refreshed and went out and raised the fee. And how can you do that? Because you're adding more value both on the consumer side and both on the small business side. And so look, in the third quarter, we have record levels of not only Gold and -- not only Platinum but Gold card acquisition for our base.  So we feel really good about that. I think as far as how you spend your money -- look, we do -- obviously, the industry has changed. You do a lot less direct. You do a lot less direct mail than you used to do. You do a -- there's a lot more sort of aggregator on acquisition. But I think what's really important about us and as we look at our marketing spend, we look at our marketing spend not only for prospect marketing, but we invest in our customers.  And we spend marketing money on our customers to continue to grow their spend, to upgrade their product, to introduce them to our lending capabilities. It creates a flywheel, right? Because what you do is you bring these prospects in, and then you manage these prospects and get them to go more and more profitable.  And one of the things that we hang our hat on is we look at our customers as a platform for growth. And if you can continue to do more and more with your customers, they will generate more revenue, you'll have more loyalty and you're seeing that. You're seeing that in our retention metrics. And so, we really look at our marketing spend. It's not just acquisition; it's also with our existing customer base. And that's probably changed a little bit more over the years as we've invested more and more on our customers as are the products that we have continues to expand.
Jeffrey Campbell: And Steve, one of the best examples of that last evolution you talked about is the fact that our member get member program, where our existing card members who are so attached to the brand that they get other card members and friends to also get attached to the brand, that has come from almost nowhere a few years ago to being one of our most significant acquisition channels. And I think it's a real commentary on everything you just talked about.
Operator: And we do have those follow-up questions from Betsy Graseck with Morgan Stanley. Please go ahead.
Stephen Squeri: Sorry about that, Betsy.
Betsy Graseck : No problem. Thanks. Yeah. You mentioned during the prepared remarks that this was one of the best quarters for acquiring small business and I wanted to tie that into an article. Was that recently saying that you're going to be working with Goldman Sachs to enable B2B for your clients. This is really in the corporate card, the 200 -- the top 250 companies globally that you work with. And in this article it suggested that you would not be offering transaction account directly from yourself, but you're tying in with a partner to enable that.  Maybe you could give us some color as to how this offering is expected to drive business opportunities, talk about the transaction account banking piece of that and then if you could tie into what you're seeing in SMB and what you could be offering to SMB clients too that would be helpful. Thanks.
Stephen Squeri: Yeah. It's good to clarify this. So look, we're very excited about the partnership with Goldman and look, we have relationships with 60% of the Fortune 500 companies. And when we compete, as we compete, sometimes we compete with other money center banks that have corporate card programs and also have transaction banking and they tend to integrate that.  And so Goldman is very interested in getting into transaction banking, not as necessarily as interested in getting into the corporate card. We do a number of things with Goldman Sachs from a customer perspective, there are customer of ours, we're customer this. And as John and David and I were talking about things, it looked like a really good opportunity. They were trying to ramp up their transaction banking.  We have the corporate card and putting those things together in that space, a space that we really weren't going to get into transaction banking as it related to large banks. It's not our space. Corporate card is, but not transaction banking. So we decided to look at the top 250 and if that goes well and there's no reason why it will not go well, then we can put it -- put a little bit more downstream to say the S&P 500.  We have a different perspective as it relates to the SME space, which is why, if you remember what we've talked about from an SMB perspective is we wanted to be the working capital providers for our small businesses. And now in the small business space, we have a very good footprint. and not only in the U.S., but good footprints in internationally. We also remember during the pandemic, we bought Kabbage.  And what is Kabbage? Kabbage is basically a transaction banking platform, right? And so what Kabbage has? Kabbage does short-term loans. It does working capital loans, it will do merchant financing loans, it has a transaction banking account, It has debit card attached to it and we have our American Express Card attached to it.  We have a very different philosophy as it relates to small businesses, where the commitment of capital, the commitment of cash that we have to put out, and the commitment from a loan perspective will be much smaller and be much more diffused across the entire SME base. And so we believe it's a sweet spot for us and that was the Kabbage piece of it. We did not believe that transaction banking was a sweet spot for us from an S&P 500 and above. And we're really thrilled to be partnering with Goldman on this.
Betsy Graseck : Got it. Thanks.
Operator: And our next question comes from the line of Bob Napoli with William Blair. Please go ahead.
Robert Napoli: Hi. Thank you. Good morning. I guess, I wanted to follow up on Steve and Jeff on the SMB business and the competitive environment in that space, and your movements and adding additional products and services. There is a lot more competition, I guess from venture -backed companies like Brex and Divvy and Ramp, or you have Dibby now part of our partner Bill.com.  But how do you see those companies are growing very fast and you're providing, I think spend management or that business spend management services. How do you view that competition relative to your SMB efforts and are there additional products and services and ecosystem you're building for your SMB clients.
Stephen Squeri: Well, look, I mean, from an SME perspective, had pretty good quarter up 13%. So we feel pretty good about that. And I think I'll just point you back to what I just respond to Betsy with. Obviously, we went out and bought Kabbage. And Kabbage has cash flow analysis on it, it has transaction banking, it has debit, it has the ability to loans. And so, now what you do is you take a Fintech platform like Kabbage, you take American Express with over 3 million small business customers, and a sizeable Balance Sheet, and a sizable brand, and a lot of capabilities.  You put that together and we believe it gives us a really great offering as it relates to our SMB base. And look, and I'm not going to discount any of those Ramp or Rex or Debbie or any -- we never discount anybody. And you look to learn from people as well, but we believe that the combination of what we have and the space that we're in, and putting together Kabbage and in also integrating into Kabbage, AECOM pay and our AP capabilities -- our automation capability -- AP automation capabilities puts us in a very, very good position to continue to compete in this space and continue to grow and continue to win.
Operator: And our next question comes from the line of Eran [Indiscernible] with Citi. Please go ahead.
Eran: Thanks. Maybe we could touch on capital distribution a little bit. The buybacks for the quarter were well above -- I think more than double what the street was expecting. Is that level just more of a catch-up or do you expect to have an elevated level of capital return for the next couple of quarters.
Jeffrey Campbell: Well you are correct, [Indiscernible] quite elevated, probably our largest ever quarter of share. The purchase and into really strictly a catch up. [Indiscernible] This is our first quarter where we were completely free of any Fed constraints on our buyback. We've been very clear for many years that our target CET1 capital ratio was 10% to 11%. As you all know, that is actually well above the regulatory minimums. It's really more governed by our own view of the balance sheet and the rating agency view of the balance sheet. So since the constraints from the FRED were lifted, while we don't want to disrupt the market, we did buy more aggressively. I think you will continue to see us by above what I would call a steady-state level for -- Our steady-state level is pretty high. As a Company with a 30% ROE, we generate a lot more capital than we need each year. But it'll stay elevated until you get back down into that 10% to 11% range, which I'd expect to happen over the next couple of quarters.
Operator: And we do have a question from the line of Richard Shane with JPMorgan. Please go ahead.
Richard Shane: Thanks guys for taking my questions this morning. Look, I think when we look back at what's happened over the last year, we really see the strength of the American Express franchise from the core business. And in a lot of ways, things have stayed the same. I'm curious when you look forward, what do you think is different about the business as we emerge from the COVID crisis? Is that the demographic of your customer, is it the expansion with Kabbage, what's going to be different in the next three years because of what we've seen in the last year?
Stephen Squeri: Well, I think that if you look at what happened here, I think we've bedded down customers a lot more than we've ever bedded them down in the past. And that was because we really focused on a lot of this value proposition enhancement. And one of the reasons that I started my remarks today with pre -pandemic, at the pandemic, and during the pandemic was to show that this was a bit of a continuum.  When you think about this, what we talked about a number of years ago was really focusing in on our customers, focusing in on refreshing our products and services, becoming more digitally engaged, and expanding that organic core of products and services. And what I think what we saw during the pandemic here was that we saw an accelerant as it related to online. Our online spending has accelerated tremendously, I think were 27% up in Q3 here, goods and services, 19% growth over 19.  And so we've been able to direct our card members in ways faster than we probably would have gotten there without the pandemic. And again, I think looking at our overall strategy of refreshing these card products has led us to expanding our overall base. As we expand the value propositions, look, we're talking about over 70% Millennial and Gen-Z acquisition in a Platinum Card where we just raised the fee to $695.  So it's obviously speaking to that base. And I think that's one of the things we've seen over this time period. It's how much more we are speaking to that customer segment. And so when you put that all together and you add the SME piece of it, which is a complete expansion with Kabbage is that we're opening up a lot more doors for us to do business with our SME customers. And one of the things we've learned is that the more products that you have with your customer, the higher retention rates that you have, obviously, the more revenue that you have, and the more engagement that you have. And so, I think we've probably driven faster to where we thought we were going to get ultimately, as a result of the pandemic, but we haven't fundamentally changed where we were going.  And that's why I wanted to start this conversation this morning with this as a continuum for us. But again, like we've talked about in the environment, online has been accelerated probably 3 years from a macroeconomic perspective, and I think we're seeing our strategy that we were looking to continually to implement that has been accelerated, and it's proven to be right.
Jeffrey Campbell: For one financial, [Indiscernible] Rick and Steve, I'd add to that is very similar, is that our funding structure has actually changed quite significantly over the course of the pandemic to be more heavily weighted to our depository products, which are our lowest cost of funding. And when I project the head for years, that trend is going to continue. So that is actually, I think perhaps a little notice, but very positive change for us as well when you look a little longer-term.
Stephen Squeri: Yeah. One of the point that I'll just make and not to beat on this, but when you look at the fact that we -- when you look at our acquisition and you see where we are acquiring these card members, it has actually expanded our playing field. And so with that playing field expanded, that's why you're seeing this broader marketing spend because you have more customers to go after. You have more archetypes now that you can go after than you did probably 3 or 4 years ago because the product is speaking to a broader set of consumers out there now.  Broader in terms of the demographic and broader in terms of age and so forth, and wants and needs that the products are getting -- all getting broader. And a product can now appeal to multiple customer sets. And you're seeing differentiation between the products. It's just not an upgrade. When you look at the Gold versus the Platinum, there is specific differences here that speak to another different consumer or different small business customer. So I think that has probably changed as well.
Operator: And we do have a question from the line of Dominick Gabriele with Oppenheimer, please go ahead.
Dominick Gabriele: Great. Thank you so much for taking my questions. I was just curious on the 3 million SME customers. As you look at the total U.S. SME spend, does that volume growth typically track the total market given how penetrated you are there with your relationships? And I guess, would that include any cash conversion or I know it represents inventories, is most of that done on card any way? Thanks.
Stephen Squeri: Look, I don't have sort of market share information on that, but -- sort of at the tip of my fingers here. But it is -- we think from a 13% growth perspective, we are probably growing at or above market at this particular point in time. But when we look at this, what is down from an SME perspective is T&E. You are seeing a conversion of check or cash or wire to card and I think we saw that during the pandemic and I think that's where some of the investment in our AP automation has helped as well.  And when you talk about B2B spending approximately 80% of SME spending is B2B spending. Maybe 85% of SME spending is B2B spending and they use it for lots of different things. They -- there are some inventory management. But remember, our SME base is so broad and it's professional services, lawyers, HVAC, so forth and so on.  And so they do use the product or goods for resale as well. It's -- auto glass companies use it to buy auto glass and plumbers use it buy supplies and so forth so on. And you're probably seeing a little bit more cash conversion, but we're pretty pleased with that 13% number of growth plus with the T&E component of that being down.
Operator: And we do have a question from the line of Lisa Ellis with MoffettNathanson. Please go ahead.
Lisa Ellis : Hey, good morning. Thanks for squeezing me in. I have another follow-up question on the growth that you're seeing in the Millennial and GenZ that you called out on Slide 5. Can you just take a step back and comment a bit on what features and reward specifically or like which card profiles that you're seeing are particularly attracting -- attract those consumers like have you, how have you been that -- this successful over the last couple of years and then also, can you give us any sense of the percentage of your U.S. card-based or some measure along those lines that's currently in those younger cohort?
Stephen Squeri: Last part, we don't really, we haven't -- I don't know if we've disclosed the last point, but let me go with the first point while they feverously look for that answer, Lisa, as sitting around the table with me. As far as the first part, look, Millennials and Gen-Zs are about experiences. And they are about access. And I can speak for experience having a house full of them. And so, they love to travel; they love to do things.  And when you look at the Platinum Card product, which had always been positioned as, hey, I'm a real high spender, I need to have that Platinum Card product, you have to look at the utility of this product. And you look at fine Hotels and Resorts and you look at the value that you get out of a fine hotel and resort booking with an early check-in and a late checkout, or a free breakfast and a $100 credit at the hotel.  And then you look at streaming credits, their online shoppers, this rewards accelerators, this travel credits, this access to tickets, this access to special part member events, it is a range of services that they use. And look, Equinox is another benefit that we put on and, look, we just added Walmart, Walmart Plus membership, which a majority of our Platinum Card holders shop at Walmart. We think this is a great benefit as well.  So when they look at this product, it really is a lifestyle product for them. One that ranges from their everyday activities of online spending and streaming all the way to traveling. And the credits they get, whether it's Global Entry and TSA Pre and all those kinds of things. So it is a wide ranging value-rich product for these younger people and older people like myself. But basically out of this particular cohort, it's 27% of our overall spending and in the third quarter that grew 38%. We feel pretty good about that as we move in. So that's the -- I think that gives you the answer to your second question.
Operator: And we do have a question from the line of Min Zhao with Deutsche Bank. Please go ahead.
Min Zhao: Hi. Thanks for taking my question. I want to ask about potential M&A. Are there any areas in your product set that might benefit from possible bolt-on acquisitions? And then has there been more opportunities to engage in the syntax space or if high evaluations continue to be a headwind to any activity there? Thank you.
Stephen Squeri: Well, I mean, look, let's take a low historical walk down memory lane. But we have -- we bought Resy which was a great bolt-on acquisition for us with dining and it becomes a great system for new card members because we don't just limit Resy to our cardholders. And then we added Lounge Body, which is the lounge finder, which provides our card members not only with access to our Centurion lounges, but other relationships that we have, over 1200 lounges, and it'll also give them perspective on if our lounges are full enough. Then we bought Resy and we bought Cake and a few others and then obviously, Kabbage. So look, we're constantly looking an AECOM pay we bought as well. So we're constantly looking for those bolt-on acquisitions, things that will continue to drive our overall organic core and make our overall products that better. Some of the things are -- Obviously, the prices for Fintech are obviously some of these things are very highly valued, and obviously the math doesn't work, but the way we've looked at it is if something makes strategic sense overall, then we'll look at doing it. But I think the big thing for us is we have a feeder system with Amex Ventures, where we have probably investments in 40 plus 50 different entities right now. And it gives us an opportunity to test drive them. It gives us an opportunity to learn and through some of these investments, it led to us acquiring companies down the road. So look, you never say never about anything and that's probably as far as I'm going to go, but we're always interested in things that are going to be accretive to the Company overall.
Operator: And we do have a question from the line of Mark DeVries with Barclays. Please go ahead.
Mark De Vries : Thanks. Steve, I wanted to ask you about how you're thinking about crypto. As you attract more of these millennials and Gen Zs or digitally native, how important is it to think about offering either the ability to pay or integrating it into your rewards prop? And then also on a related matter, how are you thinking about whether there is a role to play developing kind of a supplemental settlement layer to address interoperability issues. And then finally, when should we expect you to buy CryptoPunk?
Stephen Squeri: So look, we think about a broad range of digital currencies from crypto to stable coins to government-backed digital currencies. And look, there's -- we think about cryptocurrency much more as an asset class at this particular point in time. We don't use our card to sort of buy stock. People don't use our card to buy stock and I don't think people are going to use our card anytime soon to buy to buy crypto. So I don't I see that as a big role. Having said that within closed ecosystems of NFTs and stable coins and things like that, you see it. We're on MBA Topshop. You can use the card there and there's a few other places where you can use the card and we'll see how that all plays out. I think there are opportunities down the road, potentially membership rewards and things like that as redemption options. But I don't see at this point and I don't foresee it at any point where crypto currency is going to be a threat to traditional credit card payments and there's a lot of reasons for that. There's -- Obviously, there's rewards. There's service. There is the ability to dispute, and there's also the ability to extend credit. So there's always a role. I think as I get asked this question, is it going to displace traditional credit cards? And I think the answer to that is no. I think there is a role though for digital currencies. I think it can make cross-border payments a lot more seamless and a lot easier to conduct. And so, we'll see how government digital currencies and other stable coins play out.
Operator: And we do have a question from the line of Sanjay Sakhrani with KBW, please go ahead.
Sanjay Sakhrani : Thanks. When we look at the year-over-year improvement in goods and services, I guess, is there a way to parse apart how much of that is your same customer growth versus new customer growth versus inflation? I'm just trying to think about how that cycle through when travel and entertainment comes back. I have one follow-up after that. Thanks.
Stephen Squeri: Well, we don't think it's a hell of a lot of inflation at this particular point in time. As far as new customer, there were a lot of new customers we acquired last year. And so same customer sales are driving quite a bit but we don't -- I don't have that at my fingertips at this point. But I think what I would say is that when we see -- what we've seen from a value proposition injection perspective last year, we saw a lot of that stuff stick. So we saw more card members putting wireless on. We saw more card members putting streaming services on. And that has continued to flow through. We've seen more of our card members putting online spending on. So I think that -- our belief is that's going to stick and when you look at goods and services growth, it's 19% over 2019, it's 18% over 2020. So it has been that. It has been consistent. So that -- I think that's here to stay, and I think what will happen is we'll get that travel.  The other thing I would say is, we talked about the millennial cohort before and that being up 38%. Our boomers are not back. And so the majority of our traditional card base is not back yet and that is not growing at 38%. But in reality is, they will come back. And they will come back as they feel more safe. And so we think that's a tailwind for us going forward.
Sanjay Sakhrani : Right. That's very helpful. And then I guess, Jeff, is there a way to be more specific on the provision next year? I know it's going to be dependent on loan growth and the macro. But as you're thinking about what's embedded in your expectations for the high-end of the range. I mean, is it close to several billions of dollars and maybe you could just talk through that please?
Jeffrey Campbell: Well, I think Sanjay, the way to think about it is many financial institutions were still holding an appropriately but significant level of reserves driven by the uncertainty in the medical and economic environment. At some point that level of uncertainty is going to decrease down to 0. And at some point, those reserves being held for that have to also go pushing much down to 0. Now -- so that's got to happen probably mostly over the course of next year.  On the other hand, as loan growth begins to pick back up, which it has in the last quarter, as delinquency start to drift up, I don't think they're going to spike up, but they'll drift up a little bit then the actual or what I'm going to call BAU fewer provision is going to start to drift out. What's really hard to predict those on days the relative pace of those two things next year.  What I feel very confident, though, in pointing out as I did a few minutes ago is that relative to this year where you've had billions of dollars that have led you to a net benefit on the provision line, I certainly don't expect that next year, which is why we feel pretty good about the confidence and the range we've given, given that it actually represents several -- just billions of dollars of improved business performance from a pre -provision perspective. But those are the dynamics that we think about.
Sanjay Sakhrani : Alright. Thank you.
Operator: And our final question comes from the line of Don Fandetti with Wells Fargo. Please go ahead.
Donald Fandetti: Good morning. So I'll close it out with a question on regulation, Jeff. A lot of things have been going well for the Company. I just want to check in, specifically on the U.S. side and just see if you're feeling comfortable as you can with the environment.
Stephen Squeri: Hi. Don, I'll answer it. I think, whereas comfortable as we could be at this particular point in time for everything that we know, but you're always worried about everything. Regulation is one of those things but I think right now, I think we're okay. And we think about regulation, we specifically think about things that have happened in Europe and things that happened in Australia and so forth that we really don't see that happening in the U.S.  We'll see what happens as it relates to the CFPB s and how that all plays out. But I think we've lived in this environment along time. We know how to operate in this environment, and I think we'll just be fine. But I don't see any sort of curve balls, if you will, coming down the pike at this point. So that's what I have to say about it.
Vivian Zhou : With that, we will bring the call to an end. Thank you again for joining today's call and for your continued interest in American Express. The IR team will be available for any follow-up questions. Brad, back to you.
Operator: And ladies and gentlemen, the webcast replay will be available on our Investor Relations website at ir. americanexpress.com shortly after the call. You can also access the digital replay of the call at 1-866-207-1041or 402-970-0847, 402-970-0847, access code 873-2937 after 1 PM Eastern on October 22nd through midnight, October 29th. That will conclude our conference call for today. Thank you for your participation. You may now disconnect.